Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q4 2020 Bonanza Creek Energy, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Scott Landreth. Please go ahead, sir.
Scott Landreth: Thanks, Josh. Good morning everyone and welcome to Bonanza Creek’s fourth quarter 2020 earnings conference call and webcast. On the call this morning, I’m joined by Eric Greager, President and CEO; Brant Demuth, Executive Vice President, and Chief Financial Officer and other members of the senior management team. Yesterday, we issued our earnings press release, posted a new investor presentation, and filed our 10-K with the SEC all of which can be found on the Investor Relations section of our website. Some of the slides in the current investor presentation may be referenced during our remarks this morning. Please be aware that our remarks will include forward-looking statements that are subject to many risks and uncertainties that could cause actual results to differ materially from these statements. You should read our full disclosures regarding forward-looking statements contained in our 10-K and other SEC filings. Also during this call, we will refer to certain non-GAAP financial measures, because we believe they are good metrics to use in evaluating performance. Reconciliations of these measures to the most directly comparable GAAP measures are contained in our earnings release and investor presentation. We will start the call with prepared remarks and then move to Q&A. As with previous earnings calls, we will take questions from those in the sell-side analysts community on today’s call. I ask that investors and others with questions, please reach out to me directly to schedule a call. You can find my contact information on the Investor Relations section of our website or within yesterday's release. Now I would like to turn the call over to Eric Greager. Eric?
Eric Greager: Thanks, Scott. Good morning everyone and thank you for joining us this morning. Despite the challenges, Bonanza Creek had a very successful 2020. The team delivered safe and consistent operational performance, stretching base production, lowering our cost structure and improving our occupational safety and health rates. The year concluded with the announcement of a transformative acquisition of HighPoint Resources. The combination of Bonanza Creek and HighPoint is expected to provide significantly more scale in the rural DJ, enabling us to continue expanding our margins, delivering synergy value and generating significant and resilient free cash flow. I'll have more to say on this transaction before opening the line for Q&A. But first I want to summarize a few of the other highlights from 2020. In early March, when faced with a dramatic decline in commodity prices, we quickly flex down our pace of development to maintain financial strength. These actions enabled us to generate over $100 million of free cash flow in 2020 and end the year with no debt and $25 million of cash on the balance sheet. Despite a 70% reduction in capital investment, 2020 production exceeded our March expectations, while we forecasted was an average annualized rate, approximately equal to 2019, or we delivered was an 8% improvement over 2019 and a substantial beat of our original guidance. In early January of 2021, we started our DUCs stimulations and we're expecting to turn new wells to sales in late March. More recently, the Arctic weather impacting much of the nation also created freeze offs in our operations. In our release yesterday, we reduced our total production guidance to a range of 20 to 23 Mboe a day for 1Q '21. But our oil volumes were less impacted, which you'll notice in the improved oil mix guidance. This remains a cost and margin business, and in 2020 the BCI team drove unit LOE and recurring cash G&A expenses to levels that had not been reached in our company's history. We are excited to work with the HighPoint team to apply the best of both companies on the combined base of assets. Briefly, I would like to address one item on the financial statements relating to the $61 million deferred income tax benefit on our balance sheet as of year-end. Sandy and Brant can provide more color during Q&A if there's interest. But in summary, this is due to the company being a sustained net income position for the foreseeable future according to tests performed during our year-end audit. As a result of this income, we will now be able to take advantage of our deferred tax assets that were previously offset by valuation allowance. The removal of the valuation allowance at year-end results in a tax benefit on our income statement.  More exciting than taxes, we continue to make steady progress toward closing our acquisition of HighPoint. Last week, we announced key milestones and scheduled a March 12 shareholder meeting to approve the transaction. We refer everyone to our February 10 joint proxy statement and prospectus, all of which are available on our website as the best and most comprehensive sources of information regarding the HighPoint transaction. With that, I will turn the call to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from Leo Mariani with KeyBanc. You may proceed with your question.
Leo Mariani: Hey, guys. Just wanted to touch a little bit on kind of how you're thinking about 2021. I know you've got the first quarter guidance out there and clearly you're waiting on the timing of the HighPoint deal to kind of give us a little bit more of an update. But from a high level, we've clearly seen great strength in commodity prices start the year, price is arguably a lot better than most people sort of thought here. Obviously, you guys didn't really have any activity in the second half of '20 you kind of started to frac wells. I guess what I'm getting at is just trying to get a sense of when you think you might be able to get a rig back out there? Are you still thinking second half '21 might [indiscernible] a little bit earlier just based on the robust commodity prices we're looking at here and might you consider a little bit more activity and you still want to be kind of flattish year-over-year pro forma or could there be a little bit of growth given how well commodities have done?
Eric Greager: Thanks, Leo. I think that's a great question and we've certainly given it some thought, I think we are still planning for standing up a rig in the second half. I think it'd be safe to call that kind of mid Q3. It takes -- it'll take us a little bit of time. The good news is we've got a lot of DUCs, we'll have a steady [indiscernible] DUCs to stimulate between now and that time. And that, obviously, that's DUC simulation program is independent of the drilling operation. So we start to replenish those DUCs, when we pick up the rig. The idea is still to operate, or at least contemplate operating one level loaded rig across the combined assets. And it -- we talked about flat to slightly declining when we announced the deal. I think, given the relatively significant recovery in commodity prices both on the natural gas side and the crude oil side, it's probably fair to use the term you use which is flattish and try to maintain kind of flat to stable production over time as opposed to allowing it to decline. But rather than front run that too significantly, that's going to be driven by returns. And we'll have a new Board in place after closing. So those sensitivities on returns will be discussed with the Board. But I think it's -- I'm confident to say flattish is a good way to go and picking up a rig early in the second half of the year and kind of think mid Q3 makes a lot of sense to us.
Leo Mariani: Okay. That's helpful. And, obviously, we're getting kind of closer to the point where you guys are able to close the HPR deal, which is obviously a big milestone for you guys, and roughly doubles the size of the company. Looking forward, I imagine there may be some other opportunities out there in the DJ. You think 50,000 Boe per day, roughly speaking, is the right scale? Or would you have ambitions to continue to potentially do other deals and become a little bigger company in the next couple of years?
Eric Greager: Well, our posture is to remain engaged in the conversation on the M&A front, whether that's asset acquisitions or kind of corporate level, that all depends on valuation. It requires, obviously, the HighPoint deal was a value accretive deal for our shareholders on just about any per share metric you'd like to look at. But I think there's still value, Leo, in gaining scale. And those -- you have more and more opportunities to diversify risks, whether those are asset risks, reservoir risks, takeaway risks, or other kinds of risks in the business. And scale, obviously, not only gives us economies, but also gives us the opportunity to mitigate risk across the portfolio. So we won't be satisfied necessarily at 50 because it's 50. We certainly appreciate that 50 is twice 25 and that's a great improvement in scale. We'll continue to look for value creative opportunities to continue to grow the business. It's got to make sense. There's got to be a fair exchange of value and we'll be looking for those.
Leo Mariani: Okay. That’s great color. And just lastly for me, this may be a tricky question, but obviously came out in readout to the guide a little bit for the first quarter for the extreme weather events. Are those pretty much cleared off on your asset at this point? You think that the weather is passed, is kind of everything back up and running? You have a pretty wide range on first quarter. So just try to get a sense you can think everything is baked in or is there's just kind of a lot of guesswork involved because you still got a bunch of wells down, what can you kind of tell us about per square [ph]?
Eric Greager: Now we feel pretty good, Leo, that the 20 to 23 Mboe a day for Q1 captures the range of outcomes. And we're definitely on demand, I mean, weather is still tough. It's still cold. It's still below zero and some challenges in the field, but we're well on demand and we confident that it's captured in the range.
Leo Mariani: Okay, great. Thanks, guys.
Eric Greager: Thank you, Leo.
Brant Demuth: Thanks, Leo.
Operator: Thank you. Our next question comes from Neil Dingmann with Truist Securities. You may proceed with your question,
Neil Dingmann: Good morning. Eric, my question is just looking at obviously a massive footprint you have on Slide 12. I don't know if you can comment sort of post HighPoint yet maybe too premature on that, but I'm just -- my question is really on well cadence. When looking at that acreage, if you could just give us a little color on how you may be for the remainder of this year and then the next year how you're thinking about that? I don't know if you can, as I mentioned, whether if you want to just keep it without HighPoint at this point.
Eric Greager: No, I think the best way to talk about it is as a pro forma enterprise, over 200,000 net acres, as you indicated, Neil, on Slide 12 will continue with the DUC stimulation work and putting those to sales. And that should be in the range of 40 to 45 DUCs, all throughout the year. But our DUC stimulation program on the standalone Bonanza side for Q1 is weighted to the first half of the year. And then we start blending in HighPoint after close. In terms of cadence or pace of development, those turn ons are going to start in March. And there'll be a pretty steady diet of turn in lines through the second quarter of those wells that were stimulated by Bonanza standalone in Q1. And then as we start to blend in the HighPoint DUC inventory as you move into Q2 and Q3, turning those in line. Then as we pick up the rig and we start replenishing the DUC inventory, the idea, essentially, Neil is to solve for something that feels like notionally about a flat production profile. There'll be some wobbliness on a quarter-to-quarter basis just based on variability of turning [ph] lines and so on. But generally speaking, we want to maintain flat stable production profile over time. And that's a slight correction to the flat to slightly declining, which we rolled out in November. But that's obviously based on higher returns and our returns orientation given the rally in both natural gas and crude oil pricing. On a one-rig operated pace of development, if you think about over time, that one-rig kind of one frac crew operated pace of development will turn on a mix of XRLs and SRLs at about 50 per year. So notionally we'll be able to drill off inventory -- permit inventory and location inventory across the acreage at a pace of about 50 wells per year. And we've got 2 years of one-rig development queued up already in approved permits and far more than that in terms of high quality locations in inventory.
Neil Dingmann: Well, like -- yes, I love the inventory. And then just is a quick follow-up on Slide 13. Looking at infrastructure, I think I know the answer, but I just love to hear your color on it. It seems to be more than appropriate stream of structure at this time. We look at the gas, oil and water that maybe I'd love to hear your comments a little more on that slide as far as when it combined company, sort of how you think about in total infrastructure?
Eric Greager: Yes, we couldn't be more excited to put these two gathering systems together as you point out. It's not just a gas gathering system, it's a gas gathering system, a produced water gathering system and an oil gathering system. We've got multiple interconnects to multiple midstream gas processors, multiple interconnects to different crude oil, pipeline access points and terminals. And the gathering system assets obviously represent intrinsic value on their own, which gets better by connecting them, lowering the system wide gas gathering pressure, which improves the base performance of the wells -- all wells connected to it. And then you take that and you compound it even further. When you've got in the examples where we have, for example, two sections, a budding one another or adjacent where Bonanza would have developed one on section length and HighPoint would have developed the adjacent on section length, we can now develop both pick up the idle resource that would have otherwise been in the setback of those two sections. So that's true incremental resource added. And then also the economies of scale that are provided by drilling longer laterals. Then you combine that with tying those systems into either HighPoint's gathering system at the surface or Bonanza's gathering system at the surface. And you can see that it basically takes the levelized supply cost to the entire 200,000 net acre position down the cost curve, and we just couldn't be more excited to sink our teeth into that. We quantified some of the benefits and some of the synergies, but we think there's a lot there as we continue to dig through, just continuing to lower the levelized supply costs and improve our cost structure.
Neil Dingmann: Fantastic details. Thanks so much again.
Eric Greager: Thank you, Neil.
Operator: Thank you. Our next question comes from Michael Scialla with Stifel. You may proceed with your question.
Michael Scialla: Hey, good morning, guys. Eric, you mentioned you have an inventory of a couple years of permits based on a one-rig program. Have you received any permits since the oil and gas commission implemented its new rules in fourth quarter, and just want to get your thoughts on how those new rules might impact you in terms of timing and costs and other aspects?
Eric Greager: Hey, Mike, thank -- yes, thanks for the question. We have been receiving a very steady inbound pace of permits, permits for locations and wells themselves. So those are Forms 2 and 2a. We've continued to get those throughout 2020, during the rulemaking, and then, in the time since. So we feel pretty good about all of the -- about all the work that's ongoing. I think the COGCC now with the kind of permanent full time commissioners in place, they're able to get a lot more kind of steady pace of work done. And it feels to us like things are incrementally stabilizing. We've got the rulemaking, the bulk of the rulemaking behind us in 2020, and the January 15 effective date. There's a little bit more rulemaking ahead of us, but we don't see that as necessarily difficult or otherwise challenging in terms of the company's ability to develop. We just want to see continued stabilization and pace on permit generation, permit clearing and COGCC hearings and activities at the commission.
Michael Scialla: Do you anticipate any incremental costs with the new rules?
Eric Greager: Incremental since January 15, I would say, no. It has been a pretty steady increase in the rigor of things like leak detection and repair, site visits, site inspections and reporting requirements. We've been involved in the rulemaking and sort of front running those and those anticipated costs over the last 3 to 6 quarters. As we see it coming, we generally build processes and procedures in place. And so what I would suggest on that answer, Mike, is that we've got most of it built in. It's -- again, you don't sort of wake up on January 15, with the new Commission and the new rules in place, and then put the processes in place. So the cost structure we've had over most of 2020 has most of the procedures and rigor built in, and obviously, the associated costs built in.
Michael Scialla: Got you. Okay. And looking at the free cash flow, you're going to generate over the next few years, it looks like you're going to be able to reduce the debt you inherit from HighPoint pretty quickly. When you get that to where you want it, just want to get your thoughts on how you're looking at the use of free cash flow after that, maybe in terms of dividend or buyback or other uses?
Eric Greager: Yes, all of those are on the table, Mike. We will have a new Board in place at the closing. And I'd hate to front run those Board decisions in the proper and rigorous analysis, but it's going to be driven, like it always has been at Bonanza, driven by returns. So, there's going to be probably a mix in that basket of consideration. I think dividends certainly is something we want to talk about and want to better understand. Share repurchases as well. Although with just 30.5 million shares out, repurchasing those shares is going to be -- it has a downside to it, but there is a return associated with that activity as well. And then, getting the leverage ratio down to half a turn isn't going to take long. And so, there is an opportunity to use some combination of cash and stock, should we find a good opportunity to continue inorganically growing the business through combinations with other companies.
Michael Scialla: Great. Thanks, Eric.
Eric Greager: Thanks, Mike.
Operator: Thank you. Our next question comes from Phillips Johnston with Capital One. You may proceed with your question.
Phillips Johnston: Hey, guys, thanks. Just one for me. H4 the slide deck shows $642 million of PV-10 value. It's a year-end strip. I'm just wondering if you could provide just the PDP component of that?
Brant Demuth: Yes. Phillips, good morning. Thanks for the question. So at year-end strip, just to be specific, The PDP PV-10 is $437 million.
Phillips Johnston: Okay. That's it for me. Thanks, guys.
Brant Demuth: Thanks. That was easy.
Operator: Thank you. Our next question comes from Noel Parks with Tuohy Brothers. You may proceed with your question.
Noel Parks: Good morning.
Eric Greager: Good morning, Noel.
Noel Parks: Hi. I think since we last spoke, we've got what 15 bucks improvement on oil price. How much can change in just a few months? Along those lines, I was just wondering as far as the different scenarios you're contemplating heading into the HighPoint, well, [indiscernible] at the HighPoint acquisition. I'm just wondering, do you have any thoughts about maybe what cost structure might look like going forward? I guess, I'm just wondering on the service side, after a really slow year in the base and the cold setting so much down. Now when things do come back, do you believe we've finally seen the trough [ph] in service prices? Or do you think there's still capacity and people and equipment out there that badly wants to get to work again?
Eric Greager: Thanks, Noel. It's a great question. And there's a different strategy for different parts of the cycle. And I think as we reach this, this inflection here over the last quarter where things started kind of dramatically grinding up into the right and the commodity prices, we see ample idle capacity on the drilling contractor side of the business. There's going to be crews available and rigs available and contractors, and they're not going to be as far as I can tell in a position to really command premiums for the most part. That's on the kind of the drilling side of the business, the full suite of drilling location services. When it comes to stimulation services, I think it's quite the opposite. I think the stimulation market has tightened meaningfully just in the last few months, and it was already beginning to tighten even in the back half of 2020. As folks were both recognizing some of the idle capacity was being taken kind of out of immediate availability, at the same time that which was immediately available was being contracted. And so I would say on two fronts, drilling there's idle capacity, and operators will be able to drive a pretty hard [indiscernible] on the drilling side. On the stimulation side, it's going to be a little bit more difficult. But we've got stimulation, we've got a stimulation crew under contract now and we'll maintain that crew under contract for most of the year to maintain our steady diet of DUCs and then kind of replenish DUC inventory throughout the balance of '21. So we feel pretty good about our access to those services. And those are long running relationships. I don't anticipate paying kind of spot premiums for those as we -- as we've maintained these relationships over time. If you think about some of the other sub elements, [indiscernible] about services, facilities, construction services, pipelining services and alike, I think there's still plenty of slack in the system in most of those service domains. So I wouldn't anticipate that tightening up significantly. On the oil country tubular side of the business, I do anticipate that starts to tighten here in kind of Q2 and continuing on. If you look at the scrap metal market, it's kind of a precursor to oil country tubular goods, and can be a leading indicator and that's up substantially worldwide, prices for scrap metal. So let me stop there, Noel, and see if you've got other questions or comments on what I've just said.
Noel Parks: No, that was really helpful. I mean, when I hear you talk about just any elements of tightness, it does make me think, hey, I guess we’re in the middle of road, real [indiscernible] after such a long time. I guess one more for me. Do you have any thoughts on your hedging policy going forward with the combined companies?
Eric Greager: Yes, it's a good question. Again, try -- me trying to front run what might be a new audit committee certainly will be some compositionally at least a few new members of the new Board. I can't get too specific on that, Noel. But what I would say is, we intend to maintain a very strong balance sheet around half a ton leverage. And that balance sheet means, you don't want to be too aggressive on hedging. You want to be able to allow that balance sheet some exposure. And that's just kind of a fundamental balance sheet versus hedging and risk management. Brant, do you do you want to comment on hedging beyond that? What you think the strong balance sheet in the larger company might imply without front running a audit committee?
Brant Demuth: Not too, specifically, but, Noel, I think the tactics will continue to be a pretty disciplined layering strategy, which we've always employed here predominantly using zero cost collars. And you can see that, obviously, the book is detailed in the 10-K, but you can see that in our existing positions they in the first quarter, we are about three quarters hedged on the oil side, but that declines off relatively quickly over the ensuing quarters. And I think that structure will remain as is, even though we're doubling the size.
Noel Parks: Great. That's all I had. Thanks.
Brant Demuth: Thanks, Noel.
Operator: Thank you. Our next question comes from Chris Davis with Goldman Sachs. You may proceed with your question.
Chris Davis: Hi, you hear me?
Eric Greager: Yes, Chris.
Brant Demuth: Yes, Chris.
Chris Davis: So the freeze offs in Colorado and these outrageously high spot prices, is that causing any kind of derivatives whiplash or anything?
Eric Greager: Brant, why don't you take that?
Brant Demuth: Yes. Thanks for the question, Chris. I wouldn't call it a whiplash. Clearly, we have a good percentage of our Q1 natural gas hedged. The ceilings of those are in the mid twos, two in a quarter and a little bit higher than that on some. So clearly, that hedge as gas spikes, works against you as they're structured to do. I would say that the benefit of the current situation, as reflected in our realizations has been more on the natural gas liquid side, which has become a larger percentage of our product mix. And we don't have any of the propane or any of the component products hedged at this point. So between the improved recovery of NGLs, that's been reflected in the overall improvement in realized prices on an oil equivalent basis. Does that help?
Chris Davis: That helps. I was just thinking if there's a freeze off and you can't deliver, and you have a options contract that offsets that, that seems like that could be a big problem for some producers. I was just checking with you guys.
Brant Demuth: Yes, that's actually a good question as well. Our hedge contracts are financial contracts. So we don't deliver physical against those contracts.
Chris Davis: Okay. But the $350 spot price, and you have to settle and normally you would settle by when you deliver physical, you're going to receive $357. And if you can't deliver physical, that's what I worry about.
Eric Greager: Yes, I'm actually not concerned about our inability to deliver on our contracts, Chris. I think if that's -- not entirely sure I understand the question, but what I'm -- what I think I'm hearing is perhaps some concern on whether or not we might have demands to deliver, which we can't meet. And we have no difficulty at this point, despite the freeze offs, that impacted the business over the weekend, no problem delivering against our contracts.
Chris Davis: Okay. Thank you very much.
Eric Greager: Really just a settlement price. Thank you, Chris.
Operator: Thank you. [Operator Instructions] Our next question comes from Ray [indiscernible]. You may proceed with your question.
Unidentified Analyst: Yes. Hey, good morning, Eric and Brant. I have a follow-up on the -- your NGL comment. There's been a pretty big uptick in industrial demand for natural gas. Do you see any read through on NGL realizations relative to NYMEX in 1Q or 2Q?
Brant Demuth: Yes, Ray, thanks for the question. They continue to improve natural gas liquids. I mean, specifically, propane has spiked pretty dramatically here in the last couple of months, and partially flow through in the fourth quarter. But it continues to be in high demand, obviously, for heating. And so I think we'll continue to benefit from unrealized high NGL prices.
Unidentified Analyst: Got it. Got it. And just a follow-up. I guess, with what you mentioned about the COGCC, stricter policies around leak detection and repairs. I guess, do you feel like you might be maybe ahead of some of your peers in the Permian or other basins in terms of being able to talk about the sustainability metrics, mission metrics that mostly infuse or kind of moving [indiscernible]?
Eric Greager: Ray, that's a great question. And we absolutely believe that understanding how to be a responsible steward of the resources, whether those are capital resources, land resources, oil and gas subsurface resources, or in this case air emissions resources, and the impacts are that the externalities of our operating business. We believe that we've got a competitive advantage operating in Colorado, operating with the level of transparency and surface cultural tension that exists in DJ gives us the opportunity, pushes us to be better and delivers to us, steel sharp and steel, and it makes us better. And that improvement in our operating practices and our knowledge of state-of-the-art best and available -- best available and safest technologies means that we have a competitive advantage against most operators who don't operate in the same environment. And I think that's in terms of leak detection and repair. It's in terms of reporting standards, whether those are CDPHE, to the EPA, Title 5 management according to EPA non-attainment, which the united -- U.S EPA has custody and stewardship over some jurisdictions, including the Denver Metro area. So, in short, we think it makes us better. We think it's a competitive advantage. And we think most E&P across the U.S is probably lagging the state of Colorado and lagging in the learnings and attention we've been able to capitalize on.
Unidentified Analyst: That's great. Thanks very much. And, hey, just a last quick one. I think last quarter, you didn't have clear communication from OXY on plans for French lake. Does the current budgeting include anything for drilling there?
Eric Greager: Yes, 2021 it doesn't, it does not.
Unidentified Analyst: Okay.
Eric Greager: What we have is a great relationship with OXY and we continue to work closely with them. We know they're working hard. And beyond 2021, they're a bigger organization and they've got kind of budgeting and long range plans in place for '22 and beyond. The short answer is no for '21. And I think '22 just remains to be discussed with OXY and remain -- remains undetermined at this point. But great resources, great relationship and everyone is working hard to capitalize on it.
Unidentified Analyst: That's great. Thanks very much.
Eric Greager: Thank you, Ray.
Operator: Thank you. Our next question comes from Tom Hughes with Wells Fargo. You may proceed with your question.
Tom Hughes: Hey, guys. I just wanted to see real quickly if you've reevaluated the flow back strategy, just in light of oil prices and shape of the curve?
Eric Greager: Yes, thanks, Tom. It's a good question. We will always adjust our economic optimization model according to a constantly updating cost model and a constantly updating revenue model. And that includes reservoir pressure management, which is what informs our flow back strategy. So it comes as part of the continuously evolving dynamo, the economic optimization tool. So what that will do is, it will tell us whether or not based on the revenue model attached to the type curve reaches an economic optima with changes, whether that’s choking or opening and then it forecast and optimizes various streams and various value -- dollar values according to those stream. So I guess the short answer is, yes. And I think the short answer will always be, yes, based on the process. The process is set to update continuously on continuously changing cost model and revenue model assigned to a very specific set of type curves according to dynamos physics engine.
Tom Hughes: Okay. Thank you.
Eric Greager: Thanks, Tom.
Operator: Thank you. And I’m not showing any further questions at this time. I would now like to turn the call back over to Eric Greager for any further remarks.
Eric Greager: Thank you. I just want to thank everyone for joining the call this morning and for your continued interest in Bonanza Creek.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.